Operator: Good day, and thank you for standing by. Welcome to the Kirby Corporation 2023 First Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kurt Niemietz. Please go ahead.
Kurt Niemietz: Good morning, and thank you for joining us. With me today are David Grzebinski, Kirby's President and Chief Executive Officer; and Raj Kumar, Kirby's Executive Vice President and Chief Financial Officer. A slide presentation for today's conference call as well as the earnings release, which was issued earlier today can be found on our website at www.kirbycorp.com. During this conference call, we may refer to certain non-GAAP or adjusted financial measures. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our earnings press release and are also available on our website in the Investor Relations section under Financials. As a reminder, statements contained in this conference call with respect to the future are forward-looking statements. These statements reflect management's reasonable judgment with respect to future events. Forward-looking statements involve risks and uncertainties, and our actual results could differ materially from those anticipated as a result of various factors. A list of these risk factors can be found in Kirby's Form 10-K for the year ended December 31, 2022, and in other filings made with the SEC from time to time. I will now turn the call over to David.
David Grzebinski: Thank you, Kurt, and good morning, everyone. Earlier today, we announced first quarter revenue of $750 million and earnings per share of $0.68. Included in the results are 2 offsetting onetime events, onetime costs related to strategic review and shareholder engagement activities of $0.04 per share which were offset by interest on our delayed IRS refund of $0.04 per share. The net $0.68 compares to 2022 first quarter earnings per share of $0.29. Both of our segments performed well during the quarter, delivering significantly higher revenue and operating income year-over-year. The first quarter results reflected steady market fundamentals in both Marine Transportation and Distribution & Services, partially offset by significant weather and navigation challenges for Marine and continued supply chain constraints in Distribution & Services. During the quarter, we remain focused on operating as safely and as efficiently as possible and delivered solid results even with these headwinds. In Inland Marine, our first quarter results were heavily impacted by delay days. Throughout the quarter, our operations were challenged by high winds and heavy fog along the Gulf Coast and lock delays on the Illinois and Mississippi Rivers. These weather and navigational related issues significantly slowed transit times and impacted the financial performance of our contracts of affreightment. Overall, delay days increased 31% compared to the first quarter of 2022 and 33% compared to the fourth quarter. From a demand standpoint, customer activity was strong in the quarter with large utilization rates running in the low to mid-90% range throughout the quarter. Tight market conditions due to strong demand and limited supply barges, coupled with continued inflation, put upward prices -- upward pressure on prices with spot prices up in the low to mid-single digits sequentially and in the 25% range year-over-year. Term contract prices also renewed higher with low double-digit increases versus a year ago. Overall, first quarter inland revenues increased 22% year-over-year and margins were in the low teens range. In coastal, market fundamentals continue to slowly improve with our barge utilization levels running in the mid- to high 90% range. During the quarter, we saw solid customer demand and limited availability of large capacity vessels, which resulted in low double-digit price increases on term contract renewals and low 20% increases on new spot deals. As noted in the fourth quarter, however, our results were adversely impacted by planned shipyard maintenance on several large vessels. Additionally, our operations on the Gulf Coast were hindered by extensive fog throughout the quarter. Overall, first quarter coastal revenues decreased slightly year-over-year and operating margins were negative in the low single digits. In Distribution & Services, demand remained strong across our markets with growth in new orders and high levels of backlog. In manufacturing, revenues were up sequentially and year-over-year, driven by healthy demand for our environmentally friendly pressure pumping equipment and power generation equipment for e-frac. However, as expected, significant supply chain issues delayed many new equipment deliveries during the quarter. We continue to work diligently to manage these supply chain challenges. In our commercial and industrial market, overall demand remained solid across our different businesses with growth coming from the marine repair, power generation and on-highway sectors. In summary, our first quarter results reflected continued strength in market fundamentals for both segments despite meaningful weather and supply chain issues. The inland market is strong and rates are pushing higher while our coastal revenue is challenged near-term by planned shipyards industry-wide, supply/demand dynamics are favorable. Our barge utilization is good, and we are realizing rate increases. Strong demand in distribution and services is contributing to further growth in the segment. And while supply chain bottlenecks are expected to persist for the foreseeable future, the outlook for the market is strong. I'll talk more about our outlook later. But first, I'll turn the call over to Raj to discuss the first quarter segment results and the balance sheet.
Raj Kumar: Thank you, David, and good morning, everyone. In the first quarter of 2023, Marine Transportation segment revenues were $412 million, and operating income was $43 million with an operating margin of 10.4%. Compared to the first quarter of 2022, total Marine revenues increased $57 million or 16% and operating income increased $26 million or 154%. Compared to the fourth quarter of 2022, total Marine revenues, inland and coastal together were down 2% and operating income decreased 8%. Inland was up while coastal was down and I'll add more color on this in a minute. As David mentioned, fog and high winds along the Gulf Coast produced a 33% sequential and 31% year-over-year increase in delay days and negatively impacted operations and efficiency, while planned shipyard activity and weather impacted the coastal business. These headwinds were offset by solid underlying customer demand and improved pricing. First, I'll discuss the inland business in more detail. The inland business contributed approximately 82% of segment revenue. Average barge utilization was in the low to mid-90% range for the quarter, which is slightly better than the utilization seen in the fourth quarter of 2022 and compares to the mid-80% range in the first quarter of 2022. Long-term inland marine transportation contracts or those contracts with a term of 1 year or longer contributed approximately 55% of revenue, with 60% from time charters and 40% from contracts of affreightment. Improved market conditions contributed to spot market rates increasing sequentially in the low to mid-single digits and in the 25% range year-over-year. Term contracts that renewed during the first quarter were up on average in the low double digits compared to the prior year. Compared to the first quarter of 2022, inland revenues increased 22% and primarily due to higher term and spot contract pricing and increased barge utilization. Despite higher pricing, inland revenues were flat compared to the fourth quarter of 2022 due to the aforementioned unfavorable navigation and operating conditions. As such, inland operating margins were also flat sequentially driven by the impact of a 33% sequential increase in navigation delay days, which was offset by higher pricing. Now moving to the coastal business. Coastal revenues decreased 4% year-over-year as downtime from planned shipyards and poor winter weather conditions along the Gulf Coast were partially offset by higher contract prices and improved barge utilization. Overall, Coastal had a negative operating margin in the low single digits and was impacted by the increased shipyard days and adverse weather during the quarter. The coastal business represented 18% of revenues for the Marine Transportation segment. Average coastal barge utilization was in the mid- to high 90% range, which compares to the low 90% range in the first quarter of 2022. During the quarter, the percentage of coastal revenue under term contracts was approximately 75%, of which approximately 90% were time charters. Average spot market rates were up in the low to mid-single digits sequentially and renewals of term contracts were higher in the low double digits on average year-over-year. With respect to our tank barge fleet, for both the inland and coastal businesses, we have provided a reconciliation of the changes in the first quarter as well as projections for 2023. This is included in our earnings call presentation posted on our website. At the end of the first quarter, the inland fleet had 1,043 badges, representing 23.2 million barrels of capacity. On a net basis, we currently expect to end 2023 with a total of 1,053 inland barges, representing 23.4 million barrels of capacity driven by a modest number of reactivations. Coastal Marine is expected to remain unchanged for the year. Now I'll review the performance of the Distribution & Services segment. Revenues for the first quarter of 2023 were $338 million, with operating income of $23 million and an operating margin of 6.7%. Compared to the first quarter of 2022, the Distribution & Services segment saw revenue increase by $83 million or 32% with operating income increasing by $12 million or 107%. When compared to the fourth quarter of 2022, revenues increased by $31 million or 10% and operating income increased by $6 million or 34%. In the oil and gas market, favorable commodity prices and increased rig and completions activity contributed to a 38% year-over-year and 15% sequential increase in revenues. We experienced strong demand for new engines, transmissions and parts throughout the quarter. As David mentioned, we continue to navigate supply chain bottlenecks, especially in our manufacturing business. Despite these issues, the manufacturing business experienced continued favorable trends in new orders and backlog. Overall, oil and gas represented approximately 44% of segment revenue in the first quarter and had operating margins in the mid-single digits. On the commercial and industrial side, strong activity contributed to a 28% year-over-year increase in revenues with improved demand for equipment, parts and service in our marine repair and on-highway businesses. Power generation was also up year-over-year. Compared to the fourth quarter of 2022, commercial and industrial revenues increased by 6%. Our Thermo King business continued to experience delays due to supply chain constraints that impacted revenue growth. However, this was offset by increased activity in marine, power generation and on-highway repair. Overall, the commercial and industrial businesses represented approximately 56% of segment revenue and had an operating margin in the high single digits during the first quarter. Moving to other items. Total general corporate expenses for the quarter were $3.5 million higher year-over-year, driven by onetime costs associated with our recently completed strategic review and shareholder engagement activities. These onetime higher costs were offset by a similar amount of interest income due on our delayed IRS refund. Please note that this shows up in other income. Now turning to the balance sheet. As of March 31, we had $27 million of cash with total debt of around $1 billion and our debt-to-cap ratio improved to 25.9%. During the quarter, we had net cash flow from operating activities of $16.5 million. First quarter cash flow from operations was impacted by a working capital build of approximately $100 million driven by underlying growth in the business. We continue to target unwinding working capital as the year progresses. We used cash flow and cash on hand to fund $73.2 million of capital expenditures or CapEx primarily related to maintenance of equipment. During the quarter, we also used $3.2 million to repurchase stock at an average price just under $68. As of March 31, we had total available liquidity of approximately $420 million. For 2023, we continue to expect to generate net cash flow from operating activities of $480 million to $580 million. Our CapEx range is high and wide this year as a number of factors are at play. First, we have a heavy shipyard schedule this year for both our inland and offshore fleet. As you know, there is a large industry maintenance bubble occurring this year and next in the inland industry due to the timing of regulatory requirements. A similar regulatory situation related to ballast water treatment systems is impacting the offshore sector. Our typical maintenance CapEx for both fleets is around $160 million to $180 million. This year, it will be in the $230 million to $250 million range. In addition to this higher level of spending, we have some compelling strategic marine projects for specialized equipment that will add approximately $40 million to our marine CapEx. Finally, we expect to invest up to $100 million this year in electric tracking systems that will release to key customers. The returns related to these systems are accretive and provide long-term and stable income streams for the distribution and services business. So in summary, our CapEx guidance for 2023 is expected to be in the $300 million to $380 million range. It is important to note that even with the anticipated higher level of capital spending, we expect to generate $150 million to $200 million in free cash flow. We are committed to a balanced capital allocation approach, and we expect to use most of this free cash flow to repurchase stock. I will now turn the call back to David to discuss the remainder of our outlook for 2023.
David Grzebinski : Thank you, Raj. Although first quarter results were materially challenged by bad weather and marine transportation, we exited the quarter in an excellent position, and we anticipate improved results in Marine as we progress through the remainder of 2023. In Distribution & Services, despite supply chain constraints, demand for our products and services is strong, and we continue to receive new orders in manufacturing. Overall, we continue to expect our businesses to deliver improved financial results in the coming quarters. While all of this is encouraging, we are mindful that challenges related to economic slowing and additional headwinds due to higher interest rates are possible. Also, labor constraints and inflationary pressures continue contributing to rising costs across our businesses, although some of this is starting to moderate. With these uncertainties in mind, we will continue to focus on costs and drive strong cash flow from our operations. In inland marine, steady demand, driven in large part by high refinery and chemical plant utilization should continue to support higher barge utilization. Limited new barge construction and high industry maintenance requirements for the next 2 years, combined with lingering inflationary pressures are expected to further support inland rate increases. Barge availability is also very constrained. These factors are expected to contribute to our barge utilization running in the low to mid-90% range for the foreseeable future. These favorable supply and demand dynamics are expected to drive further improvements in spot market and what represent -- excuse me, which represent approximately 45% of inland revenues. We also expect continued improvement in term contract pricing as renewals occur throughout the year. Overall, we expect inland revenues will grow approximately low double digits for the full year and expect near-term inland operating margins to average in the mid-teens and to gradually improve throughout 2023, ending the year close to, if not at 20%. In coastal, market conditions are expected to steadily improve as the industry is getting closer to supply and demand balance across the fleet. Even if there is some market softness, Kirby's coastal barge utilization is expected to remain in the low to mid-90% range. Full year 2023 coastal revenues are expected to be flat year-over-year. Good fundamentals in our core liquid cargo business and higher coal shipments in our offshore dry cargo business are expected to be largely offset by the company's planned maintenance and ballast water treatment installations which are projected to almost double maintenance days this year compared to last year. Operating margins are expected to be near breakeven to low single digits on a full year basis. Looking at Distribution & Services, we continue to have a favorable demand outlook for equipment, parts and service across the segment. In the oil and gas market, high commodity prices, stable rig counts and growing well completions activity are expected to provide strong demand for manufacturing and OEM parts, service and products in the distribution business. In manufacturing, we added new incremental orders in the first quarter, and we expect this trend will continue. As I mentioned earlier, we expect the supply chain issues and long lead times from OEM equipment which, in some cases, are extending beyond a year to remain a challenge. These issues are likely to contribute to some choppiness with new product deliveries, which could potentially shift between quarters within 2023 and perhaps even some into 2024. In commercial and industrial, we expect steady demand on on-highway parts and service driven by increased on highway and municipal repair work. We expect continued improvement in bus ridership and increased demand for Thermo King refrigeration products. Again, all of this may be offset a bit by supply chain delays. In power generation, new backup power installation parts and service activity are expected to remain solid as demand for electrification and 24/7 power continues to grow. Marine repair is also expected to be strong with increasing activity in the Gulf of Mexico and improved commercial markets on the East and West Coast. For the 2023 full year, we continue to expect revenue growth in the low double-digit range for commercial and industrial. While supply chain issues are expected to continue impacting new product and equipment deliveries in Distribution & Services, we expect 2023 segment revenues will increase by 20% -- excuse me, 10% to 20% for the full year, with commercial and industrial representing approximately 60% of segment revenues and in oil and gas representing the remainder. We expect segment operating margins will be in the mid- to high single digits for the 2023 year. To conclude, overall, we're off to a solid start in '23. Both our segments performed well during the quarter, delivering improved revenue and operating income, and our team executed well on near-term objectives. Our balance sheet is strong, and we expect to generate significant free cash flow despite higher CapEx this year, and we expect to use the majority of that free cash flow to repurchase shares. Although we see favorable markets continuing and expect our businesses will produce improving financial results in 2023, we are closely monitoring the potential for a recession and any impact that may have to our businesses. Having said that, as we look long-term, we are confident in the strength of our core businesses and our long-term strategy, we intend to continue capitalizing on the strong fundamentals we're experiencing now and driving shareholder value creation with returning some capital to shareholders. Operator, this concludes. [Technical difficulty]
Operator: [Operator Instructions] Our first question comes from the line of Jon Chappell of Evercore ISI.
Jon Chappell: Thank you. Good morning. I [indiscernible] to start here, but I wasn't going to start here, but you kind of ended here, so it's kind of the natural progression. Petrochemicals and refined products have historically been very economically sensitive. And everything we've heard from an earnings season thus far has been pretty negative on the macro and most economists are calling for a full-blown recession, soft hard landing somewhere in between for the second half. How do you contemplate your traditional kind of cyclicality of those 2 core businesses with the guide you've laid out? I know you're watching it but any kind of magnitude you can give us just some historical context on the impact recession could have mainly on inland utilization.
David Grzebinski: Sure. Yes. Typically, Jon, and you've tracked this for years. You know the -- I think we see -- when GDP is down, generally, our volumes go up and down with GDP. So let's just say we get a mild recession at a couple of percent negative GDP. That might take a couple of percent off our utilization. But as you heard, we're -- I don't want to say we're rocking, but we're rocking. It's -- we're almost fully sold out. As you know, you can't really get much better than 95% utility. So we're really bullish. I would tell you there's a lot of reasons for that. A lot of it is on the supply side as well. We're very, very busy. Industry is very busy. There's this huge maintenance cycle that's happening because of the birthdays of the barge -- most of the barges in the industry. It's a regulatory cycle, and it's going to be really heavy for all of '23 and all of '24. So there's -- that's soaking up some capacity just on its own. And then nobody is really building new equipment because the cost of new equipment is still very high. So the supply side is really about the best we've ever seen it. So that does make it more of a demand picture. You can see some of the refiners, one in particular announced blowout earnings today. And the refiners are doing well. The chemicals have pulled back a little bit. But the way I like to think about it is the U.S. chemical industry is probably the most efficient in the world, right? I mean, certainly, we've got more secure feedstocks than Europe and a better operating environment than South America and Latin America and certainly don't have the issues that Asia has. So I like to think of the chemical industry is if they're going to run the plants, the most efficient plants are the ones in the U.S., they've got the most secure feedstocks. So they're going to continue to run it. We do worry about the recession pulling back on refined products in gasoline, diesel, jet. But this is just an opinion. If you go into a recession, maybe it's people not spending money on capital goods, but given coming out of COVID, I think the last thing they're going to want to cut is their travel plans, whether it's flying or driving. So that may be a little pollyannish, but it feels like the demand -- if it pulls back, it won't pull back a lot in our trade lanes. And even if it's a couple of percent, that shouldn't impact our ability to keep pushing pricing and margin. Now that said, if it's a really deep recession and it's negative 10% GDP. That's a little different. But I really don't think that's going to happen. The construct is pretty good. Inventories are low, customers are making good money, demand seems to be holding up. You can track the airlines and vehicle miles driven. So I remain very optimistic.
Jon Chappell: Okay. Now the capacity context is super helpful on how it may be a bit different. My second one is a bit more optimistic tone. 1Q weather -- I mean, you always have weather in 1Q, but this quarter seem like it was pretty extreme, and you were still able to get a low teen margin. So as we think about the path towards maybe touching [20%] by the end of the year, is there a big step up in 2Q and then maybe kind of a slower grind higher as you go through the second half of the year just as you kind of normalize weather and operating conditions? Or would you think about it as more kind of steady progression from 1Q all the way to 4Q as contracts reset?
David Grzebinski: Yes. I mean I think we will see a pretty big step-up in Q2, and then Q3 is almost always our best quarter. So we’re going to come out of the blocks pretty good here on Q2 and then progress through the remainder of the year. That’s kind of the way I see it. I like steady, though. Yes. But no, look, the construct is about as best as we’ve ever seen. It’s – use a baseball analogy, we’re like just starting the third inning here, and it’s going to run for a couple of years. And I think if there is a recession that’s short-lived, and with the supply and demand balance, I think we’ve got multiple years here in front of us, and we’re anxious to get our margins up to where they need to be and we’re working hard on that every day.
Operator: [Operator Instructions] Our next question comes from the line of Ben Nolan of Stifel.
Ben Nolan: You can call me whatever you want to call me. The -- David, Raj, I hope you guys are well. I have a couple of questions. A few questions that came up as you're going through things, if I can. So the first is on the coastal side. It sounds like -- it sounds like there's pretty good fundamental momentum in that area and you just aren't able to realize it because of the shipyard side of things. I'm curious if it's possible, just as we think about this longer-term, if it's possible for you to maybe frame in what is potentially the revenue uplift and what margins would look like if there weren't all of the shipyard dynamic this year? How much upside would there be in a normal environment?
David Grzebinski: Yes. I think 5%, 10% kind of margins. Look, you know this, Ben, we've got -- we've got 5 ballast water treatment systems to put in remaining. We've got -- we're 75%, 80% through our fleet. So we're almost at the tail end of this. A typical ballast water treatment adds anywhere from 30 to 60 days to a shipyard, it can be really painful and those are lost revenue days. So we're almost at the tail end of it. We've got 2 ballast water treatment systems that will be delivered or finished this quarter being the second quarter, and that will just leave 3. As you heard, we lost a little money in coastal this first quarter. Some of that's weather related, but a lot of it shipyards, I think we've said in our prepared remarks, we'll end up the year kind of low to mid-single digits for margins for coastal. I think we hit '24, we'll hit it running. And I'd be -- I'd be surprised if we don't hit high single digits in '24 and maybe even exit '24 in double digits in coastal. The same dynamic is happening there, right? You got industries got to deal with all these shipyards and ballast water treatment, Nobody's building any new capacity in the offshore business. And even if you were to like, say, put an order in to build a new offshore unit, you probably wouldn't see that unit until 2026. So -- we're now inflecting right now in terms -- you heard our prices are up kind of double digits and supply and demand are in balance now. So we're at the inflection point on coastal and I think it's going to start to be a good contributor '24 and even more in '25 as we continue to raise rates and there's no new capacity out there.
Raj Kumar: And if I could add, Ben, I think you'll also see that there'll be planned retirements happening in the next couple of years, that's also going to help that supply dynamic in the coastal side.
Ben Nolan : Okay. That's all helpful. And then for my second question, I really want to ask about the leasing of the fracking units. But I don't want to -- the thing that is a little bit more pressing for me as I look at it is I look at Page 7 and it showed that there are 16 barges on the inland side that are being reactivated or new builds. Just curious if you can say, okay. My impression was almost nothing was being built by you or anybody else. Are those primarily reactivations? And have we begun to see anybody actually crossing the threshold here and taking a risk of building new?
Raj Kumar: So Ben, in my prepared comments, I think I talked about some strategic marine projects around $40 million was allocated to that. Most of that is related to reactivations of barges that we had laid up. And for us, the way we look at it, given the tightness in the market that we're seeing right now, those barges are going to be ready to work. So we're not building new. We're just reactivating barges that we've laid out. David?
David Grzebinski : Yes. We don't really see anybody building new now. I think there's maybe a handful of new construction out there. I mean, it's 10 to 20 barges max being built now. We're just not seeing building, which is good. We had some equipment on the bank that we laid up that was -- some of the stuff that needed a little more maintenance dollars and we laid it up during COVID and now it makes sense to bring that off the bank and reactivate it. Once we're complete this, I think we'll [end] -- we'll add 10 more between now and the end of the year. And then we're pretty much done. We won't have much that we can reactivate. But that is part of the CapEx picture. And you did mention e-frac. Just to put that in context, we said about $100 million. We're really excited about our offering there. What -- we started building electric tracks in 2014. We're now on our fifth generation. The new stuff is really advanced technologically. We're talking in excess of 6,000 horsepower on one trailer and it's super-efficient for our customers and our customers' customers. That's really driving a lot of interest in this. Given the technology component of it, we want to control that for a while. Are we going to spend a lot more? No, I think this is kind of it for a while, but we're really excited about it. It takes out some volatility. It will give us some smooth earnings in KBS for a few years and it lets us control that really good technology for a while. So anyway, that's just to add on to that.
Raj Kumar: And I think, Ben, it's important to note that even with this higher CapEx year, we're still going to generate $150 million to $200 million of free cash flow, and most of that is going to be dedicated towards share repurchases.
Ben Nolan: Man, you’re just bating me. I want to keep going, but I know that Greg and Jack and everybody will be a little ticked off at me if I did. So I’d better turn it over, but I appreciate it.
Operator: [Operator Instructions] Our next question comes from the line of Ken Hoexter of BOA.
Ken Hoexter: Thanks, Ben. I'm close to Greg and Jack, but thanks. So Dave and Raj. I guess just following on a couple of those. The impact of all the refinery maintenance in the first quarter pull forward, yet your utilization was still in the low 90s. Was pricing -- I guess, backward looking aided by that, I'm trying to figure out what happens into 2Q, if there's any residual impact as you get things up and running, does that smooth out the process does any impact to pricing? Or is it continuing to tighten and get better? And then if so, what's left to reprice?
David Grzebinski: Yes. No, it's more the latter than the former. Look, weather does help by tightening up utility, right? I mean weather just slows everything down. So there's -- that adds to kind of our barge utilization, although you don't get paid for it on the contracts of affreightment, but it does help the construct. But all that said, I would say momentum and the pace in spot pricing is gaining, not waning, even as weather gets better. It's just really tight in -- and can this industry bubble of maintenance is real. It's very tight out there. And it's going to be tight for at least 2 full years. And I think that's -- that's making the market a little nervous about availability, which is a good thing. And it's been a long time in coming. We've had some lean years. But -- right now, I would say the momentum is strong. And if anything, it's gaining, not waning.
Ken Hoexter: So I guess I'll ask maybe a couple of roll in just because they're really, I guess, almost yes or no answers. But coastal utilization you were just running through with Ben kind of the thoughts on the market. If we're still generating negative margins in the near-term, maybe just help me understand that because if you're -- you're effectively pulling out capacity. You're talking about high -- I mean, I can't imagine a market where utilization is in the low to mid-90s, and you can't just take -- is it just because your contracts are so long, you can't take pricing up to meet that demand near-term? And then...
David Grzebinski: Yes. No.
Ken Hoexter: Yes, go ahead.
David Grzebinski : Yes. I don't mean to cut you off. But in coastal, it's 90% contracted. Those contracts are typically 1 year. So it just takes a full year cycle. The contracts that renewed in the first quarter and coastal were up in the 20% range. So it's happening. We're inflecting right now. And it's just because of the contract nature, there's a lot less spot in the coastal market versus the inland market.
Ken Hoexter: Yes. It just seems like we've been talking about this for a while in terms of being [underwater]. And lastly, I'll just throw out the Ben's last question on the assets. Maybe just the $100 million you're talking about, is this doubling down in terms of your thought on D&S keeping it in the company if we're now adding to the balance sheet?
David Grzebinski: No, we’re not doubling down. I would just say that this is just special. It’s really good technology. The returns are very high. It’s going to be very accretive in terms of EPS. But we’re probably not going to grow that portfolio. This is kind of just where we’re at right now. And we’re pretty excited. Ken, you can imagine it smooths out earnings for the lease term and it’s going to be very high margin for earnings.
Operator: [Operator Instructions] Our next question comes from the line of Greg Lewis of BTIG.
Greg Lewis: So on Raj, I guess, on the puts and takes of the CapEx guidance and you called out the $100 million frac investment, you called out the $40 million barge investment. As we think about that $300 million to $380 million, is that -- what gets us to the low end, what gets us to the high end? And if we're at the low end, is that just a lot of that CapEx just fall through to '24?
Raj Kumar: Yes, Greg. So why we gave such a wide range is the bulk of this is going to be the shipyards. David talked about the Coast Guard regulations driven [indiscernible] yards that the whole industry is going through. And with that, we talk about supply chain. When we talk about supply chain a lot in the D&S business, but the supply chain also is impacted when we do all this maintenance for our fleets here and that's why I gave such a wide range because there could be some slippage that goes into next year. Given the way I would look at it is, this maintenance bubble is going to be probably a 2-year phenomenon. So -- and part of the hedge there is because of all we're seeing with the supply chain.
David Grzebinski: I think the good news, though, Greg, is once we get through the bubble, the free cash flow will really jump. You'll start to see jump in '24 and then '25, our CapEx will be back down to what it...
Raj Kumar: A little bit more.
David Grzebinski: Typical. But still, I mean, as Raj said, we're going to generate in excess of $150 million in free cash flow this year, even with this -- those higher level of CapEx, and we're excited about that.
Greg Lewis: Yes, 100%. And then I did want to touch -- and it was interesting because when you talked with Jonathan on the margin progression in inland, it didn't seem like going in the right direction, getting there. On the C&I and D&S, it seems like forward guidance is kind of in the mid-high single digits, and it looks I mean -- and we're already there in C&I and D&S. Could you maybe talk a little bit about, is that maybe C&I -- is that business just where it is maybe a little bit more susceptible to recession? Or is it something where we just have such visibility in those sectors, in those divisions that margins are just going to kind of trend sideways for the rest of the year?
David Grzebinski: Yes. I think -- well, there's 2 pieces, right? I mean in C&I and then there's the oil and gas and the manufacturing side. C&I's margins were high single -- mid- to high single digits. Manufacturing, oil and gas were lower, kind of low single digits to mid-single digits. And so when you put it all together, I think our average margin was, what, 6.7%? 6.7% for D&S. What's really holding back the margin progression there is supply chain. It's just -- it takes out the efficiency in our manufacturing facilities because you're missing a part slows down kind of the assembly line nature of our manufacturing. And it's the supply chain challenges are amazing. It could be a camshaft for an engine or it could be a VFD, variable frequency drive or it could be even as simple as an electric box, right. And what that does is it impacts the efficiency, which hurts the margins. I would tell you that we're hoping and hoping is not the right word. We're seeing some improvement in the supply chain, but it's still every day, it's there in -- as that gets better, you will see the margins expand. I'd be disappointed if we're not into the high single digits in '24 in D&S.
Raj Kumar: And then Greg, if I could add to that. As we work through the supply chain issues, you should also see the inventory unwinding progression even get better, right? You'll notice that in Q1, we had a build of working capital because business was good, and we built working capital, but the target here is that supply chain works its way through the system, we should start to unwind that inventory position.
Greg Lewis : Yes. And Raj, just to be clear, that's not part of the cash flow analysis that would be in addition, right?
Raj Kumar: Yes.
Operator: [Operator Instructions] Our next question comes from the line of Greg Wasikowski at Webber Research & Advisory.
Greg Wasikowski: We're hearing the same things, obviously, on rate momentum and supply-demand tightness. It also seems like rates are really a long way off still from building new being economically feasible. So David, I was wondering if you could kind of paint a picture for us of how far off we really are? And then at any point along the way, are there any concerns over rates increasing so much that it actually hurts the competitiveness of marine transportation versus rail or other types of onshore alternative transportation methods?
David Grzebinski: Yes. Let me take the last -- your last question first. Gosh, we're still -- in terms of cost per ton mile, barging is so much more cost-effective from rail and certainly for trucking. So we're a long way, way from being noncompetitive there. I think just to use a number, you're going to need $11,000 to $12,000 a day to justify building new. It's -- the cost of the equipment is going to -- is something we don't talk a lot about is the cost of compliance, right? And whether it's Coast Guard regulations, Subchapter M which is inspected towboats. The different regulations have just continued to add cost and the insurance costs have gone up. So -- when you put all that together, we're still a ways away from rates that justify new builds.
Greg Wasikowski : Got it. That's very helpful. And then along the same lines for the yards, say 1 day we get there, there's a spike in rates that make it make sense, right? Can you comment on the state of the yards and what the process would eventually be like for them to scale up if newbuild orders eventually come in, how much inertia is there? And how difficult would it be for them to satisfy an influx of orders if they came?
David Grzebinski : Yes. Well, let me – there’s 2 parts to the shipyards. There’s the repair and maintenance type shipyards, and there’s – there’s a fair number of them. Now they’re all very busy right now, and shipyard capacity is very tight. Yes, they’re experiencing everything everybody else is where labor is tight, getting labor is tight. They’re working extra shifts. So the repair side of the shipyard situation is very tight. They’re trying to ramp up as much as they can in terms of the number of ships – shifts, working evenings and nights. We obviously being very large, have some really good relationships with some top-notch yards. So we’re not particularly worried about it for our repair work. So that’s the maintenance side of the shipyards. But in terms of newbuilds, there’s really, one, what I would call 800-pound gorilla out there, and that’s [Arcosa]. They have the ability to take capacity or to produce barges and they, I think, could do easily 100 to 200 barges a year if they converted some of their dry cargo barge lines over to liquid barge lines. I just don’t see that happening because the price of new builds are still high. But Arcosa has the ability to ramp up if the demand is there. There are a handful of other ones that can build – that can build liquid barges. But again, Arcosa is the big one. That said, Arcosa is very busy with dry cargo barges right now, not liquid barges. The dry cargo business is in need of some barges and they’ve been building dry cargo barges, which are a lot cheaper, a lot easier to build than a liquid barge.
Operator: [Operator Instructions] Our next question comes from the line of Jack Atkins of Stephens Inc.
Jack Atkins : Okay. Great. Congrats. So I guess, David, if I could go back to the CapEx and D&S and I think that's really interesting as you sort of think about smoothing out the earnings power there, when would you expect to maybe start seeing accretion from that investment? Is that something that's going to hit in '24? Could that be second half of this year? And I guess, how long are the contracts that you're signing related to that?
David Grzebinski: Yes, there -- we're going to start delivering those throughout this year, kind of the second half. So you'll start to see some accretion in -- probably in the fourth quarter, and then you'll see some really nice accretion in '24.
Jack Atkins: Okay. But it doesn't sound like much if any of that is in your earnings outlook or the sort of the line item guidance you gave. Is that fair or...
David Grzebinski: Yes, that's fair. No, I mean they're under construction now. typically, they're going to run for about 3 years. And so -- it's going to be -- it's going to be a really good deal.
Jack Atkins: Yes, absolutely. It's great to see that you guys have market-leading technology there. So it's great to see that getting rewarded. And so then I guess maybe kind of pivoting just as my follow-up question, before I let you guys go. But as you sort of think about the cash flow ramp into next year with profitability accelerating underlying -- excuse me, yes, CapEx coming down and profitability accelerating, cash flow should really inflect higher. I guess are you potentially seeing opportunities for either additional M&A opportunities? Or is it really going to be focused more towards accelerating the buyback? How do you think about capital allocation with the cash flow increase?
David Grzebinski: Yes, I think that’s a great question. Look, there’s a couple of deals that one of our smaller competitors was bought by another competitor recently. There are some consolidating acquisition prospects out there. But I would tell you price expectations are pretty robust. You know this, Jack, from following us, we’re going to stay very disciplined. And I would tell you, the best barge company buy right now is Kirby. And so the short answer is we’ve – we’re really focused on buying back stock. Kirby is probably in the best position we’ve seen it for a long time, and we’re pretty bullish.
Operator: Thank you. At this time, I would now like to turn the call back over to Kurt Niemietz for closing remarks.
Kurt Niemietz : Thank you, [indiscernible], and thank you, everyone, for participating on the call today. As always, feel free to reach out if you have any questions.
Operator: Okay. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.